Operator: Welcome to the Treehouse Foods Conference Call. This call is being recorded. At this time, I would like to turn the conference over to TreeHouse Foods for the reading of the Safe Harbor statement.
PI Aquino: Good morning. This conference call may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Forward-looking statements include all statements that do not relate solely to historical or current facts and can generally be identified by the use of words such as guidance, may, should, could, expects, seeks to, anticipates, plans, believes, estimates, approximately, nearly, intends, predicts, projects, potential or continue, or the negative of such terms and other comparable terminology. These statements are only predictions. The outcome of the events described in these forward-looking statements is subject to known and unknown risks, uncertainties and other factors that may cause the company or its industry's actual results, levels of activity, performance or achievements to be materially different from any future results, levels of activity, performance or achievement expressed or implied by these forward-looking statements. Treehouse's Form 10-K for the period ending December 31, 2012, and subsequent Forms 10-Q discuss some of the risk factors that could contribute to these differences. You are cautioned not to unduly rely on such forward-looking statements, which speak only as of the date made when evaluating the information presented during this conference call. The company expressly disclaims any obligation or undertaking to disseminate any updates or revisions to any forward-looking statements contained herein to reflect any change in its expectations with regard thereto or any other change in events, conditions or circumstances on which any statement is based. At this time, I would like to turn the call over to the Chairman, President and Chief Executive Officer of TreeHouse Foods, Mr. Sam K. Reed.
Sam K. Reed: Thank you, PI. Good morning, everyone. And welcome once again to our TreeHouse. Dennis and I are pleased to report a strong start for the new year, one in which we expect to report substantial progress and the execution of our portfolio strategy and its operational and financial consequences. Leading indicators of this strategy can be readily detected in our first quarter performance. Sales growth of 3%, adjusted EBITDA increase of almost 10% and earnings growth of more than 17%. Underlying this multiplier effect are the individual components of our fundamental go-to market and acquisition strategies, as well as our operations supply chain agenda of internal improvements. Specifically, our top line growth was derived from organic growth in hot beverages, coupled with the acquisition of refrigerated dressings and sauces. In combination, these factors more than offset our expected distribution losses in soup and contract packing. Our product portfolio contain a good [indiscernible] shift, the value-added categories and alternative retail formats as growth and filter single serve coffee, hot cereal and Mexican sauces, eclipse losses in commodity oriented categories. Legacy gross margins posted a 60 basis point gain, exclusive of restructuring, as favorable product mix was further leveraged by limited commodity cost inflation and increased proficiency in manufacturing and logistics. Free cash flow of more than $40 million reduced our leverage thus, providing capital for further expansion and investment. Looking forward, we expect the same steady progress throughout the year. Although the consumer sector of the economy has yet to recover, we are well-positioned for further gains across the broad array of our product portfolio, customer base and channel mix. While industry growth across food and beverage may be moderate, our strategic agenda of portfolio-based growth, business simplification, financial performance and external expansion should mark 2013 as a year of rejuvenation in our Treehouse. And then in this vein we have just announced 2 significant changes to our executive lineup, in our dual support of internal improvement and external expansion. First, Harry Walsh, a company founder and long serving leader of our operating units, has joined the corporate office as Executive Vice President, Acquisitions Integration. Second, Chris Sliva, a 2012 newcomer to Treehouse, has been promoted to President, Bay Valley Foods, replacing Harry and assuming operational leadership of our consolidated go-to-market operations supply chain and category-based business unit infrastructure. This executive reassignment for Harry and promotion for Chris provide both more bandwidth and more depth to our leadership team. Harry, our most capable and experienced General Manager, will now devote his full-time efforts to the post closing integration of newly acquired businesses, much as he has done with E.D. Smith and in the prior elfin [ph] life, Sunshine Biscuit Company. Chris, whom many of you have already met at investor conferences, will train his focus on organic growth, business simplification, margin expansion and organizational structure across our multicategory, multi-channel portfolio of customer brands and custom products. Their experience, expertise and leadership should prove to be invaluable as we proceed towards the next major milestones along our journey of strategic growth. Let's now turn to Dennis who will address the specifics for our first quarter performance and outlook for the full year. Dennis?
Dennis F. Riordan: Thanks, Sam. First, I just want to reiterate Sam's comments regarding the overall quality of our first quarter, especially in our North American grocery channel. One of the key measures of quality is fundamental growth. This quarter, we posted retail volume/mix improvement of 2.8%, after considering the soup business restructuring, and this comes on the heels of last year's first quarter growth of 1.4% and 2011's first quarter growth of 2.9%. And this consistent year-over-year growth has come during 3 very difficult years in the food industry. Another key indicator of quality is improving operating margins. This quarter, we improved our direct operating income in both dollars and margin percentages in all 3 of our segments compared to last year's first quarter. We also improved our retail direct operating income margins, 140 basis points over last quarter to 17%. While part of the improvement is a better mix of overall sales, we also made a lot of progress in improving our manufacturing operations and distribution network to enhance our overall margins. The combination of sales growth and margin improvement resulted in our adjusted EBITDA for the quarter, totaling $76.8 million, a 9.5% increase over last year and more than triple our top line growth of 3.1%. This increase is directly related to the margin improvements in our core product categories that actually offset slightly lower margins from our new Naturally Fresh business. As we look at the profit improvement, the vast majority of it came from operational activities. Pricing in the quarter was up only 0.6% across to all of our categories, reflecting the cost moderation we are seeing in most of our key raw material inputs. The big drivers of margin improvement were from positive shifts in sales mix, improvement in our factory operations and a heavy focus on supply chain savings in our distribution network. Our transportation team has identified and eliminated inefficiencies in our shipping patterns and shipping lanes. This resulted in our outbound freight cost, improving to 2.5% of net sales compared to 3% last year. Meanwhile, our operating expenses were very much in line with our expectations for the quarter. Compared to last year's first quarter, which also had normal spending and incentive accruals, our operating expenses declined 50 basis points from 11.6%. On a sequential basis, the combination of selling distribution, general and administrative expenses were up 70 basis points to 11.1% of net sales. This was very much in line with our guidance for the year and reflects normalized incentive accruals for 2013. As I turn to the segments, net sales for our North American Retail Grocery segment grew 1.9%, including the negative effects of the lawsuit business we discussed last year, offset by the addition of refrigerated salad dressing from our Naturally Fresh acquisition, in last year's second quarter. Excluding these 2 items, all other product categories combined for a net sales increase of 2.9%. This was led by a 29% increase in our powdered drinks category, which includes our single serve coffee products. As I mentioned earlier, the new coffee business has been a huge success for us and we are continuing to add capacity to meet the demands from our customers. The increase in coffee products more than offset lower sales of single serve drink sticks, as the beverage enhancer category has shifted towards liquid rather than powdered enhancers. In response to the shift, we will be shipping our first national brand equivalent liquid enhancers this month. In addition to powdered drinks, we had nice increases in pickles at plus 6%, and pasta and Mexican sauces at plus 10%. And finally, it looks like the weather played a key role in 2 of our larger categories. I'm sure you recall that last year's first quarter set records for high temperatures across the Midwest and the Eastern U.S., while this year, we set many records for cold and rain. On the plus side, the very cool weather worked in our favor with hot cereals, improving nearly 13% over last year. Meanwhile, dressings had the opposite problem, with sales down about 8% in the cool weather this year, compared to the nearly 25% increase we reported in last year's warm first quarter. In regard to the Food Away From Home segment, the new Naturally Fresh business was the primary reason for the 8.6% increase in total sales. Excluding these sales, our volume mix decreased to 11.5% due to lower sales of Aseptic cheese and pickles. Direct operating income increased to $11 million due to the sales from the acquisition of Naturally Fresh, while direct operating income margins improved at 13.4% from 13% last year due to improved freight and distribution cost as I explained earlier. Our industrial export business had a sales increase of 4% due to higher industrial powder sales and lapping some of the lost Co-Pack business that affected the prior year. Direct operating income improved to $12.5 million from $11 million last year due to the improved gross margins, partially offset by higher distribution expenses associated with new international sales we had this quarter. As we look at the non-operating parts of the income statement, interest expense for the quarter was down about $400,000 due to both lower rates and lower levels of net debt outstanding. During the quarter, we generated approximately $41 million in free cash flow, which was used to reduce outstanding debt. Our outstanding debt, net of cash and investments now stands at $765 million and our leverage ratio was just under 3x debt to adjusted EBITDA. Also one new item you will see on our balance sheet is a line called investments. At the end of the quarter, we had approximately $7.7 million invested in funds that very closely mirrored the investments underlying executive deferred compensation. This account acts as a hedge to the deferred compensation investments and effectively eliminates any gain or loss risk associated with deferred compensation investment returns. The income on this account is not material and is included in interest income in our income statement. With regard to taxes, our effective tax rate for the quarter was 31.1%, up slightly from last year's rate of 30.4%, but generally in line with our expectations for the quarter. Net income in the first quarter was $23 million, compared to $22.1 million in last year's first quarter. This equates to fully diluted earnings per share of $0.62 in the quarter compared to $0.60 last year before considering unusual items. After adjusting for the unusual items highlighted in our press release this morning, our adjusted earnings per fully diluted share for the quarter increased 17.5% to $0.74 compared to $0.63 last year. Nearly all of the difference between reported earnings and adjusted earnings of 2013 was due to cost associated with the plant closures we announced last year. In regard to the outlook for the year, our first quarter results showed very good improvement over the same quarter last year. These results were very much in line with our expectations that we shared with you in February. We had expected that volumes would moderate due to customer purchases matching consumption again and for the most part, that appears to be happening. Our total volumes were just a fifth lighter than we have forecast, but we think most of that was due to unseasonably cold weather. Still, we think that absent any very usual external conditions such as extreme weather or drastic changes in economic policy, we should continue to see the moderation we predicted when we gave our detailed guidance in February. For those reasons, we are reaffirming our previously issued guidance of full year adjusted earnings per share of $3 to $3.10, and are comfortable that the consensus estimates for the year are reasonable in light of the guidance range. Sam?
Sam K. Reed: Thanks, Dennis, I'll now conclude with an overview of food industry and M&A market conditions, and their import of our TreeHouse outlook, plans and strategy. First, regarding the general market for food and beverage, we expect 2013 to be a year in which the central strategic themes of the post-great Recession era continue to play out. Value and thrift will remain paramount with consumers as an hourglass economy takes hold of a consumer sector increasingly split among the few haves and the many have-nots. Just as value and thrift will drive staples, innovation and convenience will lure consumers to value-added categories, particularly in beverages and snacks. Customer brand imagery, quality and value will differentiate successful retailers from the also-rans as the grocery industry adjusts to evolving consumer attitudes and behavior. Our commitment to value without compromise in customer brands and custom products will constitute the cornerstone of our go-to-market platform with our customers in all classes of trade and channels of distribution. Second, retail channel proliferation will continue to squeeze conventional supermarkets, but that shift will evolve to one of alternate corporate banners, including neighborhood markets, City Target, Turkey Hill and GreenWise Market as leading change launch smaller formats in search of consumers who have migrated away from traditional outlets. Additionally, a new generation of no-frills formats, including Rural Foods and Bottom Dollar Food has spawned yet another new generation in value retailing. Thanks to our 2011 and '12 focus on retail channel shift and its operational implications, we at TreeHouse are well-equipped to deal with these issues of evolving grocery industry structure in a slow growth marketplace. Third, input inflation in commodity and energy cost is expected to be relatively limited as opposed to the general contagion of 2008 and '11. As the new crop year opens, the consensus is one of low single-digit input inflation with the usual caveats regarding Midwest weather conditions and the difficult to hedge plastic packaging complex. In contrast to seven consecutive quarters of escalating price increases that peaked about 6% at year end '11, the level of average price increases in a portfolio of a 102 shelf-stable categories has fallen into less than 1% in the first quarter of this year. Prior to the input markets, coupled with a struggle for foot traffic and operating margin among grocery retailers, has triggered a wave of grocery demands for price concessions. Many food manufacturers will spend much of the new year in a balancing act between the benefits of lower input inflation on margins versus the benefits of trade promotion and price concessions on volume. At Treehouse, our consistent focus on innovation, productivity and customer service without equal will provide competitive advantage as we, too, balance our customers’ expectations for margin, volume and differentiation. Next, national brands, many loaded with cash, can be expected to pay-to-play tactically as retailers up the ante for co-op advertising and merchandising. Strategically, their brand focus on innovation, consumer benefit and communication will also continue to drive trial and eventual growth in our core categories. In parallel, these initiatives will generate private label opportunities especially among those leading grocers whose house brands are integral to their retail image, shopping experience and competitive position. Lastly, our outlook for M&A activity in the food and beverage aisles continues to be sanguine. We are optimistic regarding general M&A market conditions, especially corporate earnings which fuel the stock market, and high yield rates which power the deal market. We are also confident in our ability to identify finance, close and integrate large-scale transactions of the $300 million plus variety that meet our acquisition filter and portfolio strategy criteria. While as usual, one cannot predict the exact when and where of these opportunities with any degree of certitude, I, for one, am confident that we will undertake another large-scale expansion of our Treehouse in the not too distant future. My confidence stems from past experience and our present condition as a well-capitalized and diversified acquirer, dedicated to strategic growth in private label and superior growth in shareholder value. Kyle, please open the lines for Q&A.
Operator: [Operator Instructions] And we'll take our first question from Jonathan Feeney of Janney.
Jonathan P. Feeney - Janney Montgomery Scott LLC, Research Division: When we look at, it looks like on an apples-to-apples basis, you did have some margin expansion. But yet, I would think with the trajectory of commodity costs and getting a little bit of pricing even, that could have been more significant. I mean, would -- should we expect your margin comparisons to get easier or more difficult over the course of the year?
Dennis F. Riordan: One of the things we said was we're up about 60 basis points on an apples-to-apples basis. And we started the year thinking and in our guidance, talking, Jon, about getting to 100 basis points, and I still think that's a reasonable trajectory for us. So I guess in that sense, we would hope to be additive to the margins as we finished the year and -- we said at the beginning, it would be a build up to that improvement.
Jonathan P. Feeney - Janney Montgomery Scott LLC, Research Division: And just a detailed question on that is, what effect on margins does the restructuring decline of soup sales have? Does -- is that margin mix positive or negative?
Dennis F. Riordan: That actually is a positive for us because as we've said, for many years, especially with the ready-to-serve soup, it's a category with a lot of brands and a lot of brands fighting for margins. So the margin umbrella is not very strong there, and that accounts for the mid-to low single-digit share that private label has in that category. So it goes fundamentally that, that will have a lower margin structure. So that's a positive of the mix or one of the elements of the mix I'd talked about.
Jonathan P. Feeney - Janney Montgomery Scott LLC, Research Division: And then just one last thing while we're on the topic of mix, I'd be remiss not to mention the single serve coffee business, could you update us on what's going on? It seems like the growth has been slow and steady there, maybe a little bit slower as far as the total private label K-Cup growth than I would've anticipated. Can you talk about some of the price dynamics there? And the growth in brand?
Sam K. Reed: John, this is Sam. I'll give you a general overview. First of all, our hot beverage program led by single serve coffee and a company by Grove Square continues to operate on plan as we had originally envisioned. And with regard to the speed of that rollout, I will reaffirm what I had said earlier. One, that what we're trying to build here is a diversified private label and custom products business, not a dedicated coffee business. Secondly, that I want to reaffirm that it's very clear from the information we see that we will lead the private label sector in single serve coffee. And that the aggregate size of the private label share will play out over the course of the remaining year. Largely related to how the whole of the category does and branded companies -- what promotional activities they undertake. And then lastly, our velocity off the shelf and all of the indications I see are quite positive and in that regard, I'll reiterate Dennis' prepared comments that we have decided to expand capacity, yet again, and while we will not give specifics, I think you can see from the aggregate of the beverage number that we're developing this business in a very fine fashion.
Operator: We'll take our next question from Akshay Jagdale from KeyBanc.
Akshay S. Jagdale - KeyBanc Capital Markets Inc., Research Division: Dennis, just a follow-up on gross margins. So despite the weakness that you mentioned in the hot weather categories, it didn't impact your margin projection? So in other words, gross margins came in exactly what you thought they were?
Dennis F. Riordan: They were very much in line, right, because the weather -- the hot cereal, salad dressing, some of those mixes, they kind of offset and plated up and down against each other. So it didn't really have a margin impact on us.
Akshay S. Jagdale - KeyBanc Capital Markets Inc., Research Division: And on my numbers, excluding the pickle downsizing and -- sorry the soup downsizing as well as single serve, your volumes were down in North America slightly. Is that -- am I roughly right there?
Dennis F. Riordan: No. I think that's if -- as you look at the retail segment, we were actually slightly up after you take that into account. So total net sales were up 2.9% and our pricing was minimal in that category. So it was actually somewhat positive -- the soup really weighed us down.
Akshay S. Jagdale - KeyBanc Capital Markets Inc., Research Division: And just one for Sam, I mean, in terms of the M&A environment. So I know the timing is very hard to predict. But what's keeping the company basically from announcing a deal? Is it valuations? Is it the right fit? Is it a combination? Can you help us understand that a little bit better?
Sam K. Reed: Well, as I think -- with regard to respective announcements, they'll really come when we identify and then reach agreement to add another strategically important, and I'm hopeful, large-scale addition to the business and what we're not in a business of, is simply going out to find deals to announce deals, to do financial engineering. This is largely about developing a go-to-market strategy across a broad portfolio and doing so in the context of a marketplace that dramatically changes with regard to consumer behavior and grocery industry strategy. And in the absence of a large-scale deal over the last 2 years, I would take a moment to indicate that if one looks at the potential magnitude of a private label entry in single serve coffee and thinks of that as organic growth, totally homegrown at Treehouse, I would argue that it's effect has been comparable to that of some of our most substantial acquisitions. And while it took a lot of development to do it, and there is risk in doing this, but the economics of doing that internally are quite handsome. With regard to the next one, we simply all have to stay tuned, but with the knowledge that Treehouse is actively in the market, and we've got all of the resources to execute any of these matters and when we do so, you can be sure that it will be a strategically sound, financially prudent model that leads us to further growth and improvements in margin and cash flow as well.
Akshay S. Jagdale - KeyBanc Capital Markets Inc., Research Division: And just one follow-up on that, so if I'm interpreting your comments correctly, the deal, the activity seems to be picking up. So correct me if I'm wrong there, but do you also agree -- I mean, you've said in the past that there will be more competition which means, in my opinion, that valuations will be higher than previous numbers perhaps. Is that also correct way of interpreting your comments? Or that's not necessarily the case and it's really asset by asset?
Dennis F. Riordan: There's always competition and I think we can see the nature of that competition changing somewhat in that we may be moving back to a return to an earlier era when private equity were far more active than they have been in the recent past. And when that happens, private equity, leverage in equity models set the clearing, not for the deal itself, but for the first round. And we can expect that effect and with regard to the ultimate price that you pay, I think that it gets down to the individual asset and the determination of whether there are synergies to be had here by a strategic buyer. And most importantly, growth opportunities to be had that could be realized under different ownership. And if you go all the way back to the biggest things we've done, you'll see those earmarks around both the E.D. Smith acquisition and the acquisition with Sturm Foods as well, and which I think all can agree it played out extraordinarily well for us.
Operator: Our next question comes from Thilo Wrede with -- from Jefferies.
Thilo Wrede - Jefferies & Company, Inc., Research Division: Sam, would it be fair to assume that the change in responsibility for Harry Walsh is related to this large-scale addition that you mentioned at the end of you prepared remarks?
Sam K. Reed: I think that with regard to both Harry and Chris that as -- what we want to ensure that we are completely prepared for is the simultaneous organic growth and internal improvement that Harry has led over the last several years that we're able to pass that on to equally capable hands in a different market environment. At the same time, that our organization is prepared to take on an expansion of large-scale magnitude, large-scale by private label standards. And we've got the capability to do both and we've been investing in systems and people over the last several years to get to this point. And we're now at the point where we can say that we've got the executive leadership in both areas to then split our team and pursue the dual agenda in parallel. And I am hopeful that I see more of you than either one of them over the course of the next several quarters.
Thilo Wrede - Jefferies & Company, Inc., Research Division: Okay and with the creation of Harry's position, would that enable you to more aggressively pursue completely new categories that were before you maybe have the bandwidth to fully integrate something that's entirely new?
Sam K. Reed: I think it will do 2 things for us: one, that with regard to the acquisitions that we find, that we can move more quickly and more surely to capture the synergies that are implicit in those. And in doing so, to then move to more quickly assimilate the go-to-market phases, capabilities where under Chris' leadership, we can begin to get an earlier response with regard to new distribution opportunities. In terms of the capability of going beyond our traditional center of the store, that's where we will continue to focus because it offers us the highest returns and an acceptable risk. But I think that you can take it that for a company that never mentioned the word beverages until a few years ago, that we are looking -- now realize that there is a much broader marketplace in private label for us as we redefine our sweet spot and that Harry will be an integral part of -- out of the pursuit of that broader field of opportunities.
Thilo Wrede - Jefferies & Company, Inc., Research Division: Okay. And then last question for you. Would you ever consider producing K-Cups for branded producers, so basically become a co-packer for that kind of product?
Sam K. Reed: Well, our primarily business will always be focused on private label in both Retail and food service segments, with the first emphasis being on Retail grocers. There will be those occasions where an opportunity will come up for up where we may, one by one determine whether in fact it would make sense to contract pack for someone else, and we will really consider those matters on a one-off tactical basis as opposed to a long-term strategic commitment.
Operator: We'll take our next question from David Driscoll with Citi.
David Driscoll - Citigroup Inc, Research Division: Dennis, on the fourth quarter call, you discussed SG&A costs and your expectations that they'd be something like 13.1% to 13.5% of sales for the year. I think in the quarter, you came in nicely lower than that at 12.7%. Is this a timing issue? Or you're just coming in better than expected?
Dennis F. Riordan: It's mostly timing. We're -- just a touch better. But what will happen is as we move into the second half, you'll see the normal increase we have in things like stock compensation when we do our annual end of June stock grants. And then as we build up through the year, the expectation was you'd have more in the back half. That's normally been our way of going, especially with the fourth quarter being by far our largest sales quarter as well. So it's pretty much on track, just slightly better.
David Driscoll - Citigroup Inc, Research Division: Okay. So this is where the model came in more favorable than what we were looking for. And so I'm thinking because you didn't raise your full year numbers, this is like a key component of it. We should all be modeling this a little differently in the future quarters to get the full year catch up. Hence, you don't make any guidance raise at this point in time. Would you guys generally agree with that?
Sam K. Reed: I think in general that's on par, and that's kind of what I was referring to when I talked about our -- my view of where I see the consensus right now.
David Driscoll - Citigroup Inc, Research Division: In NARG, the organic revenues were down. I realize soup had, I think, a 3.5 percentage point impact. However, it still feels a bit weak. I mean, I think you guys kind of made comments to this. But do you expect organic revenues inclusive of the soup issues to be negative for the year?
Dennis F. Riordan: No, we do not. And -- so as we say, we're a little lighter than we thought on the top line. As you look at our total business and you can see in the numbers in the press release, we had about $540 million in revenue this year to $524 million last year. If you were to exclude the soup category, as you'll see in the 10-Q this afternoon, sales would've actually been up 7% year-over-year just with the exclusion of soup. So it -- the soup business really did have a negative effect. And we'll do a little lapping of that in the fourth quarter. And now we're coming out of season, so you'll see less of an impact in Qs 2 and 3 as opposed to what we had in Q1 just because of the seasonality.
David Driscoll - Citigroup Inc, Research Division: Would you able to quantify the operating profit impact of the lost soup business?
Dennis F. Riordan: That we can't. And as we've had from our -- from day 1, we really don't talk about category profitability -- product category profitability.
David Driscoll - Citigroup Inc, Research Division: Okay, final question. When does the next chunk of new single-serve capacity come on line? And are you limited right now because you're waiting for that new capacity investment to come on?
Sam K. Reed: Hey, David, it's Sam. With regard to capacity here, we have said from the beginning that what we wanted to do was bootstrap ourselves into this and make commitments to additional capital as we anticipate new business to come on. And we have not been constrained by capacity nor do we expect to be going forward. The lead time for commitments from private label accounts on new categories is always somewhat longer than that of simply line extensions of kind of their old standards. And in this case, what retailers have seen is that there really is an extraordinary opportunity to expand the whole of their single serve coffee business and are led by growth in branded ventures both from the national brand leader and its licensees, coupled with a private label presence. And in that regard, the programs that we're developing with these customers tend to take -- their gestation period tends to be slightly longer than that of, "Send me another can of peas." And so that gives us the opportunity to work throughout our supply chain with OEM equipment manufacturers as well as suppliers of packaging and coffee to do this with a very orderly, thoughtful, long-range look. And as a result, we've been able to grow the business as we had anticipated and make capital commitments and other commitments in a forward-looking, long-term way that's been quite successful. So no constraints today. We can't tell you about the next round of capacity other than where this is more of a flow of increasing velocity than it is a stop-start undertaking.
Operator: Our next question comes from Bill Chappell with SunTrust.
William B. Chappell - SunTrust Robinson Humphrey, Inc., Research Division: I just wanted to ask something on the beverage category and, believe it or not, not talk about coffee. Just trying to understand, I mean, part of the issue last year on the beverage category is we were kind of late to the game in terms of the flavor-enhanced liquid product, and I think you said on the call that you're planning to launch that in the next month or in the past month. But I've seen some other private label products already out on the market. Didn't know if you're kind of behind the game there, if there's some catch-up you need to do and kind of how you look at that playing out this year because that's a pretty hot market in terms of the beverage category other than looking at K-Cups.
Dennis F. Riordan: Yes. That's a good point, Bill. And yes, I wish we could say we hit it, we always hit it out of the park every time but we did not do it on this one. We were definitely late to the game on the liquid beverage enhancers. And we pretty much missed last season, which opened the door to some other private label manufacturers and we now have a product that's actually launching this month and we'll be at some accounts. So we're definitely playing catch-up on this one, but we're really happy with our product and we're going to have to kind of bootstrap this one back up. But that's definitely impacted us. And from a category standpoint, I think the brand leader has really shifted a lot advertising towards the liquid side away from the powdered side, and that's had a negative impact on, not just ours but the entire powdered category. So again, a little catch-up on our part, but now we're looking at it as an opportunity and focus on the future.
William B. Chappell - SunTrust Robinson Humphrey, Inc., Research Division: And, I guess, is it fair to say it is kind of muting your overall beverage growth still to this point?
Dennis F. Riordan: That's correct. It was -- our powdered beverages were down. And that -- even though the category for us is -- in powdered drinks was up 29%. It was really driven by coffee and we had negative in the powdered side -- powdered single-serve beverage.
William B. Chappell - SunTrust Robinson Humphrey, Inc., Research Division: Got it. And then maybe can you give us kind of an outlook of what you're seeing inter quarter and even into April in terms of just food volumes? I mean, I know you've said that things have gotten better. But are you seeing it sequentially from January to February to March to April in terms of we're finally out of the 18 month, 2 year funk that the whole category has been in?
Sam K. Reed: Hey, Bill, it's Sam. I think that what we're still seeing is a push and pull in the marketplace as opposed to a turning point, of steadily improving kind of quantities across a broad scale. Conditions are much better, primarily with regard to pricing being down to -- attract a portfolio of 102 categories, pricing's less than 1% in the first quarter as opposed to what I had indicated a year ago. And that will work well. And we see that in the -- among the customers that we serve, that there is a broad difference in behaviors of those that have strategically focused on their customer brands and commitments to those. And those businesses, many in the, what we call the alternate channels formats in both the value and the premium end, are showing better performance than the traditional grocers. And I think that while we've had some good consumer news of late that it will still take a while to kind of translate to steady increases and foot traffic and unit sales across the broad array of regional grocery.
William B. Chappell - SunTrust Robinson Humphrey, Inc., Research Division: Okay. So trends are pretty steady throughout the quarter and into April?
Sam K. Reed: Well, what we -- I think the market is improving. But this is a thing where it's 3 steps forward, 2 steps back, 3 steps forward, 2 steps back and you've got to hunt out those pockets where there -- you've got certain accounts where we're enjoying double-digit growth and then you look at the category numbers that Dennis announced and look beyond coffee, what we're doing in the oatmeal and Mexican salsa and other categories. We're finding those growth opportunities, but it's not in a marketplace where you're growing simply because kind of all boats are rising on an incoming tide.
Operator: Our next question comes from Farha Aslam with Stephens Inc.
Farha Aslam - Stephens Inc., Research Division: Sam, you mentioned that single-serve coffee was equivalent to an acquisition for Treehouse and equal to some of your more substantial acquisitions. Would you characterize it similar to S.T. Specialty or in E.D. Smith? Or was it the scale of Sturm?
Sam K. Reed: Well, I think -- let me repeat what I had said earlier. I think that the economic effect on us of an organic growth platform of this nature has the same salutary effects as a strategic acquisition, where you enter another -- a new category, and while our history has been replete with transactions and then improving those businesses after we've gotten them and extending distribution of existing product lines. Now this undertaking is singular in effect in that it was entirely homegrown and organic growth. And as a result of that, of the investment that one makes in, something like, is entirely for in a resources, assets that -- where there is the not the premium paid for intellectual property and goodwill of going concern, and in that regard the returns could be quite handsome. With regard to the size of this, we'll have to let that -- only time will tell us that, we've got plenty of benchmarks out there with regard to the size of the category and how private label has -- what share it has of other shelf-stable categories. And we've steered clear of specific numbers, but I think that a quick reading of that indicates that this is a large scale opportunity for us, and one that we want to take a full advantage of, provided that we do it in the context of our portfolio strategy and use beverages, hot beverages as part of that strategy to build a larger, more diversified Treehouse.
Farha Aslam - Stephens Inc., Research Division: Okay. And then do you think that on your base business, the timing of Easter at all impacted results in the first quarter?
Dennis F. Riordan: Yes, that's a good question. It was really hard to tell because of the different impacts of the weather and the days. But in general, in talking with our sales teams, I'm not hearing that the timing of Easter had any significant effect at all.
Farha Aslam - Stephens Inc., Research Division: Okay. And then my final question would be in terms of M&A again. When you're thinking about M&A picking up, and Sam, your commentary was very specific that you're thinking of 2013. What is it that's allowing private label manufacturers to come to market and for you to see more opportunities?
Sam K. Reed: Well, I think the general conditions are that while the consumer segment of the economy continues to stutter-step, that the market in it's -- the markets crossed 15,000. The food stocks are up broadly. And when one looks at the underlying factors, it's because the profitability of margins across a broad array of companies and categories, public companies have improved and I think that is -- if it's not a leading indicator it's a coincident indicator with what is happening in the privately held market. And whether these are investments that have been held by private equity or long-term independence or family held, the time to -- for those that have thought about selling but were unwilling to come forth because their forward-looking trends were not favorable, can now come to the marketplace in the context of a generally improving food and beverage category and indicate that their plans showing an improvement in the future or something that are quite credible. And by the way, there's been virtually no risk to holding these companies longer. I mean, essentially, their working capital is as close to free money as there's ever been. And this has not been an industry that has been threatened with the reorganization or bankruptcies of -- kind of one didn't move the assets. So I think those are the underlying conditions. And when you look at market evaluations of food, it's far more related to margin improvement and cash flow than it is organic top line growth.
Farha Aslam - Stephens Inc., Research Division: And you’re confident in being able to do a transaction this year?
Sam K. Reed: Well, I won't -- I had said in the not too distant future. You should know someone of my age tends to have a relatively limited outlook as to how long. Certain year.
Operator: Our next question comes from Bryan Spillane, Bank of America.
Bryan D. Spillane - BofA Merrill Lynch, Research Division: One question, Dennis. On capital spending, had you updated us on the guidance in capital spending, I think it was $90 million for the year. Is that still a good number to use?
Dennis F. Riordan: Yes, we haven't deviated from that. I think you'll see in the quarter we're lighter than that on a run-rate basis, but that's still, right now, our expectation for the year.
Bryan D. Spillane - BofA Merrill Lynch, Research Division: Okay. And then, I guess, if we're contemplating -- if you guys are contemplating potentially a large transaction, how would that affect your capital spending plans? Or would it have an effect on your capital spending plans? And I guess, the question is, if you use our resources to do a big deal, would it affect at all you decisions in terms of investing on some of your organic homegrown growth? And I guess part of that would be -- would it affect at all your thoughts on expanding in single cup coffee?
Dennis F. Riordan: I don't think that would affect us at all. The cap spending is based on our current operations, our current needs and expansion opportunities within organic categories. And we've got great capacity right now and access to market. So I can't imagine right now a circumstance where we would have to make adjustments to that.
Bryan D. Spillane - BofA Merrill Lynch, Research Division: Okay. And then just one last question on the flavor enhancers on beverages. Coke has got into the market and Kraft certainly has added some line extensions. And that market -- I think, that market has the potential to actually be bigger than the powdered market was because it opens up more usage occasions. I think there's -- it seems like maybe there's going to be more -- the branded companies are going to put more resources behind it. So if that's the case, can you talk a little bit about how you scale that business up? Are you co-packing today? Is there a thought to bring it in-house if you are? And just conceptually, just how you can scale that business if the market actually ends up being bigger than the powdered business?
Dennis F. Riordan: Well, the good news is if it turns out to be as big as you're thinking it could be, I think that's great news, and we would definitely be scaled up and ready to take advantage of that so that's not an issue. On occasion, we've used co-packers and to -- help in categories where we may need that. But this is -- if it has the legs, which it's starting to seem it may have, we'd much rather have internal manufacturing than to rely on an outsider to help us. But we aren't against using that on a short-term basis to kind of fill in the gaps.
Bryan D. Spillane - BofA Merrill Lynch, Research Division: So are you producing it even internally now?
Dennis F. Riordan: We can't -- we usually don't talk about where we produce our products just like we don't talk about where we sell our products. But -- and that's about all I'm willing to say on that topic.
Bryan D. Spillane - BofA Merrill Lynch, Research Division: Okay. And then just one just sort of, I guess, naive question related to that. If it's flavor enhancers for beverages, why couldn't it be flavor enhancers for foods as well? Like is there a flexibility in the manufacturing that we would allow you to have ability to kind of apply it to whether it's hot beverages or to maybe seasonings for skillet meals or for food? Is there any way to sort of expand it beyond just beverages?
Sam K. Reed: Bryan, this is Sam. Have you been reading my mail or my mind?
Bryan D. Spillane - BofA Merrill Lynch, Research Division: Well, I haven't been reading your mail. But right now, I'm looking into your mind, Sam.
Operator: Our next question comes from John Baumgartner of Wells Fargo.
John J. Baumgartner - Wells Fargo Securities, LLC, Research Division: Sam, I'm wondering if you can speak a little bit more about the pricing environment of Retail here. I think you alluded to some price concessions from the grocers, and I'm just wondering your thoughts at how aggressive that could become. And how much of a risk that could be to your guidance for the full year?
Sam K. Reed: Well, I think it poses very low risk for us. Let me go back to the fundamentals. We have seen pricing steadily come down since the very beginning -- end of '11, end of '12. And during that period of time, there has been, particularly in private label, there was some catch-up to costs that had come through earlier. And private label always tends to lag. And now we're back down to a point where we're across, as I said, 102 categories for both branded and private label. Net pricing in the last quarter was less than 1%. We hadn't seen that in many, many quarters. And the reasons for that or underlying it, with some lag are the reductions in input costs in both commodities and energy. Now going forward, the conventional wisdom now is that this should be a very fine crop year. And as a result of that, there is always push and tug in the marketplace for food and beverage for when times are good. And input costs then all retailers expect out of branded companies and private label companies alike a different -- if not concessions, at least, open checkbooks for things like merchandising and price concessions. Everybody will feel a certain amount of that pressure. I think that we're well prepared for that for the reasons I mentioned. And unlike many others, we are quite open and aggressive with our biggest and best customers about encouraging them to look at markets with us and either arrange indirectly the hedged products, prices, or, if they're willing to make volume commitments, we will go out and book those underlying commodities and take a certain -- if you can take either volume or cost risk off the table, then you're much advantaged. And as I had indicated in our discussion, we're not a business that is focused only on the intrinsic value of the good but that we provide a whole array of value-added services to our customers that provide us with the capability that not everybody else has, and so I see little risk to us in that regard for the course of this year. And in fact, there may be some competitive advantage.
John J. Baumgartner - Wells Fargo Securities, LLC, Research Division: Okay, great. And then in terms of private label single serve, I think a lot of the talk here is more focused around Retail, measured channels. But wondering if you could speak a little bit to the opportunity for private label single serve in the out-of-home channel, be it new getting at the hotels or distribution to the office network.
Sam K. Reed: Well, we see 2 opportunities outside of measured channels and the greater food retailing network. The first is Food Away From Home with office coffee services and then all the institutions that are served there. And we have a capability and a business that is -- while it is second to our Grocery business, it's still a very substantial part of our business running into the hundreds of millions of dollars a year and with very fine economics. And we can -- we see that as part of our strategy to -- that we should pursue the Food Away From Home businesses as well as Retail, with to date, the first priority being to the Retail Grocery business. The other kind of avenue we see are with regard to retailers that are not bricks and mortar. And that we know that the best of the Internet retailers are developing businesses in first, consumer product goods and now food and beverage, and that single serve coffee has established itself first as a -- on a branded basis and a significant business there, and we see that opportunity in front of us as well. It's a great opportunity for us not only to have new product, new technology, but new customers.
Operator: Our next question comes from Jon Andersen of William Blair.
Jon Andersen - William Blair & Company L.L.C., Research Division: I just have one kind of bigger picture organizational question. On the one hand, Treehouse is a larger and perhaps more complex business today than it was a few years ago, more categories, some internal restructuring going on. But I know you've also invested to improve internal capabilities, systems and, of course, now Harry Walsh is kind of dedicated to the business development front. How would you kind of characterize the organization's capacity and capability to integrate a mid- or large-scale acquisition today relative to a few years ago?
Sam K. Reed: I think it's the most -- it's the best prepared and most capable that we have ever been and that we've built an infrastructure of business resources and business systems and information technology that allows us to do this in a very different way. And if -- I was going over some plans this morning for teams to put onto specific projects, and I was struck in reading a message from Harry. Not about the names per se, but about the functional departments that we are going to deploy in some of these activities. And when we started this company, those types of functions just simply did not exist, and now we've got a dedicated strategy function. We have a marketing department focused on not only our product categories but our customers. The research and development function across the company has been integrated. The work on innovation and the cost reduction and packaging formats. Every one of our category teams now has a dedicated financial resource, where those were shared in the past. And then the backbone of all of this from an information technology standpoint is that for -- at Treehouse, SAP is not a dirty word and it's not the emblem of a botched go live. We've expanded SAP across all of our go-to market operations in the United States and many of our manufacturing sites, and that has greatly improved our capability. You are right. It's larger, it's more complex. But over the past 2 years, while we've struggled with earnings, we have remained steadfast in our dedication to build up our internal capabilities and I think the time is nigh to see that payoff.
Operator: Our next question comes from Amit Sharma of BMO Capital Markets.
Amit Sharma - BMO Capital Markets U.S.: I'm sorry if you already addressed this. Can you talk about the food service division, Sam? I mean, clearly, the volume is pretty weak in the quarter. But as you go forward, excluding the pickles business, what kind of environment you're seeing?
Sam K. Reed: Yes. It was a little more difficult at the top line, Amit. That was clear by the numbers. But what had happened is we lost some business that, frankly, was low margin and not a business that we felt we needed to have. And the offshoot is that, despite that, we actually increased our operating income and we increased our margins. So it was the right thing to do and that was isolated. In terms of the market, though, I think this is still a challenging environment. I think the Food Away From Home market is still shifting towards value and our business with the large value oriented chains is doing nicely. And the mid tier is still having some challenges in that casual dining. And so we're going to continue to see, I think, a relatively flat experience in Food Away From Home, at least, the way our business is set up, where we're going to have some positive movement in the quick serve and maybe some slight negative movement in the casual dining section. So it's going to take, I think, a little bit before we see the growth in that segment. And what we'll do internally to try to grow organically is continue to look at opportunities to move more of our categories, the 15 key categories that we have, into Food Away From Home where we aren't today, and that's where our organic growth will come from as opposed to industry resurgence.
Operator: We have no further questions in queue.
Sam K. Reed: Well, that concludes the M&A. Again, everyone, thanks for joining us today. Our mid-year earnings call is tentatively scheduled for early August. We're also looking forward to seeing many of you later this year in conferences in New York and Boston, on road trips to both coasts and if you can make the trek in our offices in Chicago. Take care and thanks.
Operator: This does conclude today's conference call. Thank you, all, for your participation. You may now disconnect.